Operator: Good day, everyone. My name is Janine, and I will be your lead operator for today's call. At this time, I would like to welcome everyone to the Ashford Hospitality Trust fourth quarter 2024 results conference call. All lines have been placed on mute to prevent any background noise. After today's presentation, there will be an opportunity to ask questions. To ask a question, you will press star one on your touch tone phone. And to withdraw your question, please press star one again. I will now hand the call over to Deric Eubanks, Chief Financial Officer. Sir, please go ahead.
Deric Eubanks: Thank you. Good morning, everyone, and welcome to today's conference call to review results for Ashford Hospitality Trust for the fourth quarter and full year 2024 and to update you on recent developments. On the call today will also be Stephen Zsigray, President and Chief Executive Officer, and Chris Nixon, Executive Vice President and Head of Asset Management. The results as well as notice of the accessibility of this conference call on a listen-only basis over the Internet were distributed yesterday afternoon in a press release. At this time, let me remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information and are being made pursuant to the safe harbor provisions of the federal securities regulations. Such forward-looking statements are subject to numerous assumptions, uncertainties, and known or unknown risks, which could cause actual results to differ materially from those anticipated. These factors are more fully discussed in the company's file with the Securities and Exchange Commission. The forward-looking statements included in this conference call are only made as of the date of this call, and the company is not obligated to publicly update or revise them. Statements made during this call do not constitute an offer to sell or a solicitation of an offer to buy any securities. Securities will be offered only by means of a registration statement and prospectus, which can be found at www.sec.gov. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the company's earnings release and accompanying tables or schedules, which have been filed on Form 8-K with the SEC on February 5, 2025, and may also be accessed through the company's website at www.ahtreit.com. Each listener is encouraged to review those reconciliations provided in the earnings release together with all other information provided in the release. Also, unless otherwise stated, all reported results discussed in this call compare the fourth quarter and full year ended December 31, 2024, with the fourth quarter and full year ended December 31, 2023. I will now turn the call over to Stephen Zsigray. Please go ahead.
Stephen Zsigray: Good morning, everyone, and thank you for joining us today. After my introductory comments, Deric will review our fourth quarter and full year financial results, then Chris will provide an operational update on our portfolio. Our fourth quarter performance was highlighted by 3.1% comparable RevPAR growth, 4.6% comparable total revenue growth, and 6.2% growth in comparable hotel EBITDA. These results underscore the impact of the strategic decisions our team has made over past several quarters and the strength of our high-quality, geographically diverse portfolio. Total revenue growth meaningfully exceeding RevPAR growth is reflective of the efforts that our asset management team and property managers have taken to grow ancillary revenues, and that discrepancy widened even further in December with total revenue growth of 7.7% outpacing RevPAR growth by 350 basis points. The 6.2% growth in comparable hotel EBITDA for the quarter reflects efforts by our property managers to operate more efficiently as margins across the industry narrowed. Beyond the impressive operating results, we were also very active in the quarter on the investment and capital markets fronts. We announced the conversion of the La Concha Hotel in Key West to Marriott's Autograph Collection. Upon conversion, it was rebranded to Autograph La Concha, and we've created a distinctive theme and style for the hotel that is commensurate with the higher-end autograph product. This included transforming the lobby, bar, and restaurant, as well as upgrading the exterior, guest rooms, guest bathrooms, corridors, pool, and meeting space. Ideally located in Old Town Key West, the transformation elevated the property into a desirable niche in the high barrier to entry high RevPAR Key West market. Post conversion, we believe the new autograph property should realize a 20% to 30% RevPAR premium compared to pre-conversion. And the hotel recently posted 25% year-over-year revenue growth in the month of January. We also completed a similar conversion at our La Pavillion Hotel in New Orleans, converting it into Marriott's Tribute Portfolio. This project included renovations to guest rooms, guest bathrooms, restaurant, and lobby bar, as well as extensive exterior work. Located on historic Poydras Street, it has a prime location and proximity to major demand generators in downtown New Orleans. Post conversion, we expected the new Tribute Portfolio property to realize a 10% to 20% RevPAR premium compared to pre-conversion. Impressively, the hotel has exceeded those expectations out of the gate and recently posted more than 45% year-over-year revenue growth in the month of January. In the capital markets, we refinanced our mortgage loan on the Marriott Crystal Gateway Hotel in Arlington, Virginia, in November. And in December, we extended the mortgage loan for the La Pavillion Hotel in New Orleans. Meanwhile, our non-traded preferred stock offering allowed us to raise substantial capital despite a challenging environment, reinforcing our financial position. Building on this success, we are pleased to announce that the offering of Series J and Series K non-traded preferred stock will close on March 31, 2025. Looking ahead to 2025, we expect this to be a transformational year for the company, and we have gotten off to a hot start. In January, we closed on the sale of the Courtyard Boston Downtown for $123 million, nearly $400,000 per key. This sale underscores the continued improvement in the wholesale transaction markets, with a 6.9% trailing cap rate highlighting the intrinsic value of our portfolio. It also provided important deleveraging for our largest loan pool, resulting in significant capital expenditure savings. On February 12, we completed the refinancing of 16 assets spanning four mortgage loans with final maturities in the first half of the year. This refinancing also enabled us to achieve another significant milestone, as we fully repaid the remaining balance on corporate strategic financing. This accomplishment was the culmination of a comprehensive process that began more than a year ago and included selling over $430 million in hotel assets, refinancing several properties for excess proceeds, and raising approximately $195 million through our non-traded preferred stock offering. These coordinated actions allowed us to successfully retire the strategic financing and open a new chapter for Ashford Trust. With the strategic financing behind us, we are now focused on partnering with our adviser and property managers to execute our recently announced Grow AHT initiative. Grow AHT is a massive strategic initiative designed to drive outsized EBITDA growth and substantially improve shareholder value. Grow AHT revolves around three core pillars: G&A reduction, revenue maximization, and operational efficiency. Under G&A reduction, we plan to significantly lower corporate overhead by cutting management and board compensation, renegotiating advisory fees and expenses with Ashford Inc, and reducing professional and administrative costs. Our revenue maximization efforts will focus on boosting rooms revenue market share, conducting pricing audits to increase ancillary revenue, and introducing additional revenue streams across our portfolio. Finally, the operational efficiency pillar aims to combat margin pressures by renegotiating vendor contracts, implementing energy-saving measures, and optimizing labor. We believe Grow AHT will transform Ashford Trust, with a goal of adding $50 million to our run rate corporate EBITDA, an increase of more than 20%. By focusing on disciplined cost control, aggressive revenue strategies, and operational innovation, we are confident we can enhance shareholder value and further strengthen our balance sheet. Completing the repayment of our strategic financing also allows us to definitively move past the challenges of the COVID era. We remain dedicated to maximizing the performance, profitability, and overall value of our hotels, as well as continuing strategic portfolio turnover and ongoing deleveraging. We are very encouraged by the increasingly attractive industry fundamentals, limited supply growth in the coming years, and gradually improving transaction and financing markets. We look forward to updating you on our progress with Grow AHT and the many opportunities that lie ahead for Ashford Trust. I will now turn the call over to Deric to review our fourth quarter and full year financial performance.
Deric Eubanks: Thanks, Stephen. For the fourth quarter, we reported a net loss attributable to common stockholders of $131.1 million or $23.83 per diluted share. For the full year, we reported a net loss attributable to common stockholders of $82.5 million or $17.54 per diluted share. For the quarter, we reported AFFO per diluted share of negative $2.01. And for the full year, reported AFFO per diluted share of negative $4.84. Adjusted EBITDAre for the quarter was $45.2 million and $235.9 million for the full year. At the end of the fourth quarter, we had $2.6 billion of loans with a blended average interest rate of 7.9%, taking into account in-the-money interest rate caps. Considering the current level of SOFR and the corresponding interest rate caps, approximately 23% of our debt is now effectively fixed and 77% is effectively floating. During the quarter, we successfully extended our mortgage loans secured by the 226-room Le Pavillon Hotel located in New Orleans, Louisiana. The loan had an initial maturity date in December of 2024 and has two additional one-year extension options subject to the satisfaction of certain conditions, with a final maturity date in December 2027. The loan was extended with no pay down and continues to have an outstanding balance of $37 million. During the quarter, we also successfully refinanced our mortgage loan secured by the 703-room Marriott Crystal Gateway Hotel located in Arlington, Virginia, which had a final maturity date in November 2026. The new non-recourse loan totals $121.5 million and has a three-year initial term with two one-year extension options subject to the satisfaction of certain conditions. The loan is interest-only and provides for a floating interest rate of SOFR plus 4.75%. The refinancing resulted in approximately $31 million of excess proceeds, which were used to pay down our strategic financing. Subsequent to quarter-end, we completed the sale of the 315-room Courtyard Boston Downtown located in Boston, Massachusetts, for $123 million or $390,000 per key. When adjusted for the anticipated capital expenditures, the sale price represented a 5.9% capitalization rate on net operating income for the trailing twelve months ended September 30, 2024, or 14.3 times hotel EBITDA for the same time period. Excluding the anticipated capital spend, the sale price represented a 6.9% capitalization rate on net operating income for the trailing twelve months ended September 30, 2024, or 12.3 times hotel EBITDA for the same time period. Subsequent to quarter-end, we closed on a $580 million refinancing secured by 16 hotels. The financing included the hotels that were previously part of the company's Keys Pool C loan, Keys Pool D loan, Keys Pool E loan, and the BAML Pool 3 loan, together with the Westin Princeton. The previous loans had a combined outstanding loan balance of approximately $438.7 million. The new financing is non-recourse, has a two-year term with three one-year extension options subject to the satisfaction of certain conditions, and bears interest at a floating interest rate of SOFR plus 4.37%. We used approximately $72 million of the excess proceeds to completely pay off the remaining balance on our strategic financing, including the exit fee. The remaining excess proceeds were used to fund transaction costs and reserves for future capital expenditures. We ended the quarter with cash and cash equivalents of $112.9 million and restricted cash of $107.6 million. The vast majority of that restricted cash is comprised of lender and manager-held reserve accounts and $2.6 million related to trapped cash held by lenders. At the end of the quarter, we also had $21.2 million due from third-party hotel managers. This primarily represents cash held by one of our property managers, which is also available to fund hotel operating costs. We ended the quarter with net working capital of approximately $122 million. As of December 31, 2024, our consolidated portfolio consisted of 73 hotels with 17,644 rooms. After taking into account our recently completed one-for-ten reverse stock split, our share count at the end of the year consisted of approximately 5.8 million fully diluted shares outstanding, which is comprised of 5.6 million shares of common stock and 0.1 million OP units. Additionally, as Stephen mentioned, during the quarter, we announced plans to close the offering of the Series J and Series K non-traded preferred stock on March 31, 2025. Since launching the offering in 2022, we have raised approximately $195 million of gross proceeds from the sale of our Series J and Series K non-traded preferred stock. While we are currently paying our preferred dividends quarterly or monthly, we do not anticipate reinstating a common dividend in 2025. This concludes our financial review, and I would now like to turn it over to Chris to discuss our asset management activities for the quarter.
Chris Nixon: Thank you, Deric. In the fourth quarter, we delivered strong performance across our geographically diverse portfolio. Comparable hotel RevPAR increased by 3% over the prior year period, reflecting solid demand and the impact of our strategic revenue management initiatives. Group dynamics and corporate transient demand are improving, and we are starting to see accelerating benefits from our Grow AHT initiatives, many of which were rolled out in November. December was a particularly strong month with a 12% increase in hotel EBITDA over the prior year period. Driven in large part by the successful execution of several Grow AHT initiatives that were in full swing. This performance was broad-based, demonstrating the resilience of our portfolio and the effectiveness of our strategies. I would now like to go into more detail on some of the achievements completed throughout the quarter. Group room revenue for the fourth quarter increased by 5% over the prior year period. Booking activity remains strong, with group pace continuing to accelerate across our portfolio. Our Washington DC properties delivered a healthy group performance this period. During the fourth quarter, Embassy Suites Crystal City produced a 22% increase in group room revenue compared to the prior year period. With the presidential election cycle presenting both opportunities and challenges, our team implemented an aggressive strategy to drive results. We focused on targeted marketing to political organizations supporting the election, particularly security and campaign teams. 2025 group room revenue pace for the broader portfolio remains strong, currently pacing ahead by 5% over the prior year period. Additionally, booking volumes have been robust. We added over $13 million in additional group room revenue during the fourth quarter for the first quarter of 2025, representing an increase of approximately 6% compared to the prior year quarter for the first quarter of 2024. Turning to gross operating performance, I am pleased with our results as fourth quarter gross operating margins expanded by approximately 141 basis points relative to the prior year quarter. Renaissance Nashville delivered a strong fourth quarter gross operating profit increase of 10% on 3% total hotel revenue growth. Ideally positioned near downtown Music City Center, this property benefited from recent initiatives aimed at enhancing its operating performance. These initiatives included adding a valuable ancillary revenue stream and cutting other operational expenses. Additionally, our team strategically utilized a supply chain procurement system throughout the year, which resulted in over $130,000 in food cost savings for the full year. These efforts underscore our ongoing commitment to operational efficiency and margin expansion, reinforcing our ability to drive sustainable profitability across our portfolio. One hotel that I would like to highlight this quarter is Le Meridien Fort Worth Downtown, which opened during the third quarter of 2024. Thanks to a combination of strategic partnerships, proactive marketing, and early activations, our asset management team has successfully capitalized on the hotel's incredible amenities, achieving total revenue growth ahead of our initial budget by 21%. A key driver of this early success was our focus on strong community engagement even before the hotel's grand opening and ribbon-cutting events. We partnered with Fort Worth Sister Cities International, the Fort Worth Chamber, and Downtown Fort Worth Inc to improve awareness prior to the opening. Additionally, the hotel conducted exclusive hard hat tours for prospective customers and community partners, generating early excitement and demand. To attract business travelers, we introduced Bonvoy room packages and brought on a dedicated business travel sales manager to engage companies in the downtown area and establish corporate accounts. Simultaneously, to position the hotel as a vibrant social and dining destination, our team launched dynamic food and beverage activations, including live music and happy hours at the upscale lobby restaurant and a stunning rooftop lounge. Further, an aggressive early rate strategy for group bookings helped establish a competitive market presence, with additional overflow blocks and group bookings secured through strategic collaborations with our other properties in the area. By positioning itself as a premier venue for group events and conferences, this upscale boutique property has delivered an exceptionally strong performance right out of the gate, and I'm excited about its long-term potential. As Stephen mentioned, this quarter marked the successful completion of our strategic repositioning of Crown Plaza La Concha Hotel in Key West, Florida, and the Autograph La Concha, now part of Marriott's Autograph Collection. Ideally located on Duval Street in Old Town Key West, this transformation followed a $35 million investment, including upgrades to the lobby, bar, restaurant, exterior, guest rooms, bathrooms, corridors, pool, and meeting space. A key enhancement was the conversion of a previously underutilized spa into premium rooftop suites offering some of the best views in Key West. I'm equally excited about the conversion of our Le Pavillion Hotel in downtown New Orleans to a Tribute Portfolio property following a $19 million investment. This renovation included extensive exterior work, upgraded guest rooms and bathrooms, a refreshed restaurant, and a reimagined hotel lobby bar. The new Bar 1803 pays homage to the rich history of both the hotel and the city, named after the year Emperor Napoleon signed the Louisiana Purchase. These conversions exemplify our ability to unlock embedded value in our portfolio. Looking ahead, we expect La Concha and Le Pavillion to benefit significantly from Marriott's sales, distribution, and loyalty platforms, enhancing long-term performance and value. As part of our Grow AHT initiatives, we implemented strategic measures during the fourth quarter to drive hotel EBITDA, focusing on food and beverage, parking, and labor expenses to enhance profitability while maintaining service standards. We conducted audits of revenues of all outlets and gift shops to optimize offerings and improve margins. Parking fee and service preservation fee adjustments will provide additional revenue streams. We also partnered with Remington to reduce allocated expenses. We launched a day-use hospitality program monetizing hotel amenities. On the labor front, we refined staffing models, optimized schedules, and leveraged technology to improve efficiency while preserving guest service. Together, these Grow AHT initiatives will help us create a more sustainable and profitable operating model. As we move into 2025, we will continue identifying opportunities to further drive hotel EBITDA and maximize value. Turning to capital expenditures, in the fourth quarter of 2024, we completed the extensive guest room public space renovation at Embassy Suites Dallas and began the guest room renovation at Embassy Suites West Palm, which is on track for completion during the first quarter of 2025. Additionally, renovations at Residence Inn Evansville and Courtyard Bloomington are progressing well, with completion expected during the second quarter of 2025. For the full year, we invested approximately $106.5 million in capital expenditures. In 2025, we will execute several PIPs to support brand franchise agreement renewals while enhancing guest experience. At Hilton Garden Inn Austin, restaurant meeting space renovation will modernize the property and capitalize on its prime downtown location. Later in the year, we plan to embark on public space renovations at Hampton Inn Evansville and Westin Princeton. These initiatives underscore our commitment to asset excellence and delivering superior guest experience. In total, we expect to spend between $95 million and $115 million in 2025, as we continue to enhance and elevate our portfolio. In summary, group business continues to show solid growth, demand remains strong across key markets, and our ancillary revenue initiatives are performing well. Looking ahead, we are actively rolling out additional Grow AHT initiatives aimed at enhancing operational performance. We are also focused on reducing energy costs, optimizing contract labor utilization, and cutting travel expenses, all designed to drive efficiency, lower cost, and improve profitability. We remain optimistic about our portfolio's outlook for 2025 and confident in our ability to unlock additional value. That concludes our prepared remarks, and we will now open up the call for Q&A.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. Should you have a question, please press star one on your touch tone phone, and you will hear a prompt that your hand has been raised. Should you wish to withdraw, please press star one again. If you are using a speakerphone, please lift the handset before pressing any keys. Our question comes from the line of Jonathan Jenkins from Oppenheimer. Sir, please go ahead.
Jonathan Jenkins: Good morning. Thanks for taking my questions. First one from me on the Grow initiative. Chris, I think you noted some changes in benefits already seen here in 4Q, but can you maybe quantify the benefits that you've seen and provide some color on the ramp period and the cadence throughout the year, and maybe some additional color on potential opportunities that get you to that $50 million target?
Chris Nixon: Yeah. Great question, Jonathan. Thanks for the question. So we've begun rolling out all initiatives. I would say more than half of the initiatives are fully rolled out and underway. Obviously, we've seen the impact of performance that a number of these initiatives started having immediately. As we look ahead to Q1 and January, that outperformance is pulling through, so we're very optimistic. Many of the initiatives will continue to roll out through the course of the year. As we're going through 2025, we're still identifying new initiatives and potential new partnerships and things we can do to build on. And so we're very happy, but we're not satisfied. So I'd say roughly half of the initiatives have been fully rolled out, and then the remainder will be rolled out throughout the remainder of the year.
Jonathan Jenkins: Very helpful. That's great to hear. And then switching gears to the conversions, Stephen, I believe you talked about 20% to 30% RevPAR premiums and revenue growth in January was in or above that, which is impressive. Do you think those assets have largely stabilized, or is there additional ramp period from here? And then more broadly, any additional thoughts regarding conversions in the portfolio and how much of an opportunity that could be?
Chris Nixon: Yeah. Hey, Jonathan. This is Chris. I'll take that. We're very encouraged by the performance of the conversions. As Stephen indicated, we underwrote pretty aggressive returns, and both hotels are outperforming that. In La Pavillion, the outperformance is, as Stephen said, north of 40% in January. That continued through February, and that's accounting for normalizing for Super Bowl impact. So when you remove Super Bowl, the hotel is still performing at that level, outperforming underwriting. When you throw an event like Super Bowl in there, it's again through the roof. I think the hotel had La Pavillion was sold out for four straight nights over Super Bowl with a RevPAR which exceeded $900. So extremely strong performance. The hotel continues to ramp. We're seeing strong distribution performance as we expected from Marriott. So I think there is still some additional runway before that stabilizes. But performance at both hotels is kind of blowing our underwriting out of the water. Down in Key West, occupancy has outperformed the market. We're starting to see the broader market soften a little bit in occupancy, so it's great that we're outperforming there. But where we've really seen the benefit is on the ADR side, with ADR gains that are just significantly outperforming underwriting, which is obviously great news for us.
Jonathan Jenkins: Okay. That's excellent. And then switching gears to the transaction environment, can you provide some additional color there? Has there been any noticeable pickup or changes in conversations you've been having as of late? Any changes in bid-ask spreads or differences in portfolio deals versus one-offs that are worth calling out? Any additional color there would be helpful.
Chris Nixon: Yeah. We've definitely seen improvement in the financing market, and that has driven an improvement in transaction markets, certainly driven optimism that 2025 will be a much better year for transactions. From our perspective, I expect that we'll continue to sell a handful of additional assets, but I'd caveat that and say that we're going to continue to be very disciplined. We want to ensure that we're getting optimal value on our sales. And there does remain a bid-ask spread in a handful of markets. And so we need to explore several different opportunities. We're not going to transact on all of them, similar to what we've done in prior quarters. But we also expect to continue to deleverage and improve our balance sheet overall.
Jonathan Jenkins: Okay. That's great. And then lastly for me, if I could, just a clarification question on your floating rate exposure. I assume that increased sequentially. Is it just the expiration of swaps? Is that the case? And more broadly, is there any additional color you can provide to us on how you're thinking about your fixed versus floating rate exposure? Do you expect to re-enter swaps to lower that floating exposure?
Deric Eubanks: Yeah, Jonathan. This is Deric. I'll take that. It's a combination of interest rate caps burning off as well as SOFR dropping back below strike prices on those caps. That's why we're more floating now. I think, look, historically, we've always preferred floating rate financing just because it has more flexibility. We think it's more of a natural hedge to our business. And we believe over time, that you'll typically pay less floating. Obviously, that's been a challenge for us over the last year or two. But I think you'll continue to see us have a mix of fixed and floating, sort of a bent to more floating.
Jonathan Jenkins: Okay. Very helpful. Appreciate all the color, everyone. Thank you for your time.
Deric Eubanks: Thank you.
Operator: That concludes our call today as well. Thank you for joining today's call, and we look forward to speaking with you all again next quarter. That concludes our conference call for today. Thank you for joining, and you may now disconnect.